Operator: Welcome to MasTec's Third Quarter 2020 Earnings Conference Call, initially broadcast on October 30, 2020. Let me remind participants that today's call is being recorded. At this time, I would like to turn the call over to Mr. Marc Lewis, MasTec's Vice President of Investor Relations. Marc?
Marc Lewis: Thanks Kevin. Good morning, everyone. Welcome to MasTec's third quarter call. The following statements made pursuant to the safe harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995. In these communications, we may make certain statements that are forward-looking, such as statements regarding MasTec future results, plans and anticipated trends in the industries where we operate. These forward-looking statements are the company's expectations on the day of initial broadcast of this conference call, and the company does not undertake to update these expectations based on subsequent events or knowledge. Various risks, uncertainties and assumptions are detailed in our press releases and filings with the SEC. Should one or more of these risks or uncertainties prove incorrect or should be this information would be changing the results may differ significantly from results expressed or implied in these communications. In today's remarks by management, we will be discussing adjusted financial metrics as discussed and reconciled in yesterday's press release and supporting schedules. In addition, we may use certain non-GAAP financial measures in this conference call. A reconciliation of any non-GAAP financial measures not reconciled in these comments to the most comparable GAAP financial measure can be found in our earnings release or our 10-Q located in investors section of our website located at mastec.com. With us today, we have Jose Mas, our Chief Executive Officer; and George Pita, our Executive VP and Chief Financial Officer. The format of the call will be opening remarks announces by Jose, followed by a financial review from George. These discussions will be followed by a Q&A period, and we expect the call to last about 60 minutes. We had another great quarter and a lot of things to talk about today, so I'll now turn it over to Jose. Jose?
Jose Mas: Thanks, Marc. Good morning, and welcome to the MasTec's 2020 third quarter call. I'd like to thank you for joining us today. And I hope and pray that you and your loved ones are healthy and safe. MasTec continues to excel during these challenging and unprecedented times as we manage through the COVID-19 pandemic. During this time, the safety of our team members has been our top priority. I have to say, I'm so proud of the men and women of MasTec. Their sacrifices, resilience, creativity, and commitment have been inspiring. Millions of families throughout the United States rely on the power, communications, entertainment, and other services we help our customers provide. Our team has delivered. And I'd like to thank the men and women of MasTec for their sacrifices and hard work. First some third quarter highlights. Revenue for the quarter was $1.7 billion, adjusted EBITDA was 265 million, adjusted earnings per share was a $1.83, year-to-date, cash flow from operations is $712 million, and backlog at quarter end was 7.7 billion. In summary, we had another excellent quarter and are on track for another great year. I believe the third quarter demonstrated the strength of MasTec's business diversification. To me, the highlight of the quarter was the growth of our non oil and gas segments. Revenue for these segments grew at 19%. And EBITDA for these segments grew at 83% on a year-over-year basis. We expect continued growth of these segments in both revenue and earnings driven by a number of growth catalysts in both communication and clean energy. Catalysts in communication include the continued rollout of 5G and the ever-increasing fiber opportunities tied to it the growing focus on increasing consumer broadband speed by both the telecom and cable TV carriers and the launch and growth of a 5G home product. Clean energy catalyst includes the continued focus on carbon neutrality. As one of the largest clean energy contractors in the country, our expertise in constructing wind farms, solar farms, biomass facilities, high voltage transmission lines, substations, battery storage, and hydrogen enabled solutions uniquely position us to take advantage of growth in this market. Now, I'd like to cover some industry specifics. Our communications revenue for the quarter was 645 million. More importantly, margins came in strong at 12.3% and were up 390 basis points year-over-year and up sequentially. The pandemic has helped highlight the importance of our nation's telecommunication networks, and our customers are working hard at providing their customers with reliable and high-speed connectivity. We expect this trend to continue and believe there will be a renewed focus on continuing fiber expansions in the residential markets. To illustrate on an earnings call earlier this week, the CEO of Verizon said and I quote, fiber richness of our network is a core element. The CEO of, Corning on their call this week said the density of fiber necessary to deliver its promises yet another example illustrating that up to 100 times more fiber is required to deploy 5G in a city than 4G. And at a conference in September, the CEO of AT&T made two statements. First, he stated and I quote, anything we can do to put more fiber out into the network serve both our consumer and business segments and use that to power with over time is going to become a much more dense and distributed wireless network. That's First of all, one of our key focus areas, and something we see as very important to us. He followed that up and reiterated that priority number one is to make sure that we're investing in our core business. And that includes fiber and making sure we have broadband connectivity on 5G. And when you think about it, those two are not dissimilar. When you have a great 5G network, you're deploying a lot of fiber. Based on those comments, I think it's important to note that MasTec's wireline business has grown 180% over the last five years, 57% over the last three years and about 13% over the third quarter of last year. Couple this with the continued opportunities around 5G deployment and this provides us with significant opportunities to grow our business. In September, Samsung announced a $6.6 billion deal with Verizon to provide network equipment and 5G radios through 2025. Deals like these are very important to MasTec as they need to be in place for the next phase of network expansion to take place. The analytics firm IHS market estimates that over the next 15 years, the 5G investment in the US will approach $1 trillion. Over the coming months, we expect two important government initiatives that will be catalyst to our business. The first is the award of funds from the Rural Digital Opportunity Fund to help bring high speed internet to rural communities. The second is the mid band wireless spectrum auctions expected later this year. Both of those should lead to significant opportunities for MasTec. I believe we are entering one of the most exciting periods in the history of telecommunications, and that the deployment of 5G wireless technologies and the associated networks is truly a game changer for the consumer, our customers and for MasTec. Moving to our electrical transmission segment, revenue was 129 million versus 103 million in last year's third quarter. Margins improved sequentially, and we expect further improvement in the fourth quarter. Backlog remained strong and improved year-over-year. We are confident that we can deliver strong revenue growth next year as we have a number of new projects starting. Scale in the segment is important for us as we strive to achieve double digit margins. We believe we are very well positioned for 2021 and beyond as the drivers for this segment remain intact, which include ageing, infrastructure, reliability, renewable integration, and system hardening. Moving to our clean energy and infrastructure segment, revenue was 469 million for the third quarter versus 262 million in the prior year, a 79% year-over-year increase. Margins for this segment were strong at 7.3%. And we continue to expect full year margins to improve over 2019 by over 100 basis points. The size and scope of the opportunities we're seeing in this segment continues to grow. Between verbal awards and projects we are competing on, we expect backlog to hit record levels over the coming quarters and expect revenues in 2021 to approximate $2 billion. We have made significant investments in the segment to profitably grow our business through organic opportunities. We continue that talent and resources to meet the increasing demand for our services. While we've highlighted this segment more over the last few quarters, I still think it's an underappreciated part of MasTec's portfolio. Over the course of the last few months, the focus on clean energy has been palpable. We have seen companies like Shell NextEra, Duke Energy and many others highlight their significant planned investments in lower carbon technologies. As a leading clean energy contract and partner MasTec is uniquely positioned to benefit from these investments. Moving to our oil and gas pipeline segment, revenue was 463 million, compared to revenue of 973 million in last year's third quarter. Revenue was impacted by the effects of COVID and its impact on demand for both oil and gas. While this was already factored into our guidance, we also had two major projects that have been impacted by regulatory delays. Those projects whose construction was expected to begin in the third quarter have now started in the fourth quarter, with the majority of work slipping into 2021. Looking at third quarter results, large project activity represented a very small portion of revenue. We believe that third quarter revenue levels are representative of what levels would look like without large project activity. Margins for the quarter were very strong and positively impacted by the reimbursement of delayed project idle equipment costs. Without associated revenue, these reimbursements had a significant impact on margin. We expect a more normalized margin level as project revenues increase. We ended the third quarter with backlog just over $2.4 billion. And we expect oil and gas revenues to increase in 2021. Subsequent to quarter end, we have been awarded one large project and a number of smaller recurring type projects. As a reminder, over the last three years, only 6% of our revenues have come from oil pipelines with the majority of our business being tied to natural gas. We continue to see strong demand for integrity services, gas distribution and line replacement activity. We are focused on continuing to diversify our revenues in this segment. I'd like to take a minute to cover 2020 guidance. Today, we increased our EBITDA guidance to a range of 800 million to 811 million versus our previous guidance of 800 million. We lowered our revenue guidance to 6.4 to 6.6 billion versus our previous guidance of 7 billion. The change in guidance is directly attributable to the two oil and gas projects I covered earlier. Our initial expectation was the projects would start in the third quarter. Our range takes into account the possibility of further delays. I'd also like to note our guidance at the midpoint of the range assumes an almost $1.2 billion reduction in oil and gas revenues while our total revenue will only be down about half that meaning that we'll grow our other segments by nearly 600 million in 2020, again, showing the strength of our diversified model. I'd also like to comment on our longer-term goals. As I think about our future business mix, I think we have a solid path to becoming a $10 billion plus revenue company, even in a depressed oil and gas backdrop. Based on market opportunities, we believe our communications business should grow to 3.5 billion to 4 billion in annual revenue, clean energy should exceed $3 billion, transmission over 1 billion and oil and gas on a recurring level to be about $1.5 billion to $2 billion. To recap, we had a good third quarter and are confident that we are mitigating the effects and impacts of the COVID-19 virus. While times are challenging and uncertain, opportunities always arise from these challenges. Our customers are looking for ways to change and improve their business models and are looking for strong partners to help them, in that lies our opportunity. Our greatest strength has been to understand the trends in the industry and our customers' needs. Our ability to provide services whether existing or new has always been a strength. I'm excited for what the future holds for MasTec. I'd again like to thank the men and women of MasTec for their commitment to safety, their hard work and their sacrifices. Keep up the good work. I'll now turn the call over to George for our financial review. George?
George Pita: Thanks, Jose and good morning everyone. Today I'll cover third quarter results, our current guidance expectation for the balance of 2020 including the ongoing impact of the COVID-19 pandemic as well as our strong cash flow performance, capital structure and liquidity. As Marc indicated at the beginning of the call, our discussion of financial results and guidance will include non-GAAP adjusted earnings and adjusted EBITDA. Reconciliation and details of non-GAAP measures can be found on our press release, on our website, or on our SEC filings. In summary, our third quarter earnings results were better than expected with adjusted EBITDA beating our guidance expectation by $11 million and adjusted diluted earnings per share, exceeding our guidance expectation by $0.16. Third quarter adjusted EBITDA of $265 million represents a record level for MasTec and was achieved despite lower than expected oil and gas segment performance, which was impacted by delays in large project startups that have now initiated in the fourth quarter. As Jose noted, it is important to note that year-over-year strength in our non oil and gas segments, namely the communications, clean energy and infrastructure and electrical transmission segments, which on a combined basis, despite COVID-19 impacts showed third quarter year-over-year revenue growth of 19% and adjusted EBITDA growth of 83%. This performance highlights the strength, diversity and growth potential of MasTec. Third quarter 2020 results also continued our strong cash flow performance, generating $216 million in cash flow from operations and reducing sequential net debt levels by approximately $129 million. On a year-to-date basis, 2020 cash flow from operations of $712 million represented another record performance level for MasTec and we have reduced net debt levels by almost $300 million since year end 2019 despite approximately $150 million in share repurchases and other strategic investments. As indicated in yesterday's release, we continue to expect that annual 2020 cash flow from operations results will mark the third consecutive year of record performance. Regarding our capital structure, my belief is that we have never been in a stronger position, affording us full flexibility to invest in strategic opportunities, as well as giving us a strong advantage with our customers as we navigate through the uncertain economic climate resulting from the COVID-19 pandemic. Now, I will cover some more highlights regarding our third quarter segment results and guidance expectations for the balance of 2020. Third quarter 2020 communication segment revenue of $645 million was down 5% compared to the same period last year, and essentially flat sequentially. Third quarter 2020 communication segment adjusted EBITDA margin rate was 12.3% of revenue, representing a sequential increase of 60 basis points and a 390 basis point improvement when compared to last year's third quarter. It's worth noting that this improved performance includes disruption and lost revenue related to the COVID-19 pandemic. As we continue to have selected markets in which construction activity has been impacted due to local municipality permitting approval delays. We expect annual 2020 communication segment revenue levels will decline slightly from 2019 levels, with fourth quarter activity slowing sequentially and with the continued expectation of strong double-digit revenue growth in 2021. Based on our strong adjusted EBITCA margin performance over the past two quarters, we currently expect annual 2020 communication segment adjusted EBITDA margin rate to improve approximately 230 basis points over last year's rate to approximately 10.3% of revenue. We are pleased with the expected communication segment adjusted EBITDA margin rate improvement in 2020 particularly considering the challenging conditions. We continue to believe that the evolution towards 5G technology coupled with increasing remote workplace and education trends in the US because of the COVID-19 pandemic will drive significant long-term demand for our wireless and wireline services in 2021 and beyond as the COVID-19 pandemic effects diminished and conditions begin to normalize. Third quarter 2020 oil and gas segment revenue of $463 million decreased 52% compared to the same period last year. Revenue fell short of our expectation as startup activity on selected large projects was delayed due to regulatory and judicial issues. As a reminder, given the size of our large projects, a 30-day delay in project activity can impact monthly revenue by up to $200 million. As indicated on our release yesterday, during the fourth quarter, we've initiated startup activity on two large oil and gas projects. And accordingly, we expect fourth quarter 2020 revenue levels in this segment to increase substantially and exceed last year's fourth quarter level. Due to the potential impact of final regulatory and judicial approvals or challenges, coupled with the volatility of the onset of winter weather our expected fourth quarter 2020 oil and gas revenue is presented in a range and we now expect annual 2020 oil and gas segment revenue to range somewhere between $1.8 billion to $2 billion. Third quarter 2020 oil and gas segment backlog was approximately $2.4 billion. And we have continued significant fourth quarter award activity, including the recent Keystone pipeline announcement by TC Energy. In summary, we have clear visibility into strong 2021 revenue growth in this segment. Third quarter 2020 oil and gas segment adjusted EBITA margin rate was 34.7% of revenue. This continues our strong performance trend across numerous smaller pipeline projects, as well as the benefit of approximately 10 percentage points for the combination of project closeout and changeover recoveries and contractual fees on selected delayed project activity for the recovery of idle owned equipment and other costs. As a reminder, the oil and gas segment requires significant capital investment and equipment fleet. And these costs are primarily reflected in depreciation expense below the adjusted EBITDA line. Looking forward, as we close out 2020, we anticipate strong oil and gas segment adjusted EBITDA margin trends will continue into the fourth quarter with an expectation in the mid 20% range. Third quarter 2020 electrical transmission segment revenue increased approximately 25% compared to the same period last year to approximately $129 million and segment adjusted EBITDA margin rate was 7.1%. We anticipate fourth quarter results for this segment will slightly exceed and generally approximate the third quarter. Third quarter 2020 backlog remained strong at $545 million. And we continue to expect that market conditions for this segment are supportive for strong 2021 revenue, adjusted EBITDA and adjusted EBITDA margin rate growth. Third quarter 2020 clean energy and infrastructure segment revenue of $469 million increased approximately 79% compared to the same period last year. Third quarter 2020 adjusted EBITDA margin rate was 7.3%, a sequential increase to 20 basis points and a 640 basis point increase compared to the same period last year. During the last two quarters, this segment has generated approximately $900 million in revenue with adjusted EBITDA margin rate exceeding 7% each quarter. And this trend begins to reflect our longer-term expectation for this segment in the high single digit range. We expect to close out 2020 with annual segment revenue in the $1.5 billion range, which equates to an annual growth rate in the mid 40% range. We also expect that annual 2020 adjusted EBITDA margin rate for this segment will show approximately 140 basis point improvement over last year. As Jose indicated in his remarks, we have continued in significant growth expectations in 2021 and beyond for this segment in a very active clean energy market. I will now discuss a summary of our top 10 largest customers for the 2020 third quarter period as a percentage of revenue. AT&T revenue, derived from wireless and wireline fiber services was approximately 12% and install-to-the-home was approximately 3%. On a combined basis, these three separate service offerings totaled approximately 15% of our total revenue. As a reminder it is important to note that these offerings while falling under one AT&T corporate umbrella are managed and budgeted independently within their organization, giving us diversification within that corporate universe. WhiteWater Midstream was 7%, Permian Highway pipeline, Iberdrola Group and Comcast Corporation where each 6%. Energy Transfer Affiliates, Xcel Energy, Duke Energy Corporation and Verizon Communications were each 5% and NextEra energy was 4%. Individual construction projects comprise 68% of our revenue, with master service agreements comprising 32% once again highlighting that we have a significant portion of our revenue derived on a recurring basis. Lastly, it is worth noting as we operate in a COVID-19 induced period of macroeconomic uncertainty that all of our top 10 customers represented over 63% of our third quarter revenue, have investment grade credit profiles. Now I will discuss our cash flow, liquidity, working capital usage as strategic Investments. During the third quarter of 2020, we generated $216 million in cash flow from operations and ended the quarter with net debt, defined as total debt plus cash of $1.07 billion, which equates to a very comfortable book leverage ratio of 1.4 times. As we have previously reported during the quarter, we also strengthened our capital structure with a favorable refinancing of our 4% and 7%, 8% senior unsecured notes and we ended the quarter with $238 million in cash on hand, as well as record liquidity, defined as cash plus borrowing availability of approximately $1.4 billion. During the first nine months of 2020, we generated a record level $712 million in cash flow from operations, which allowed us to reduce our net debt levels by approximately $300 million, while still investing approximately $150 million a strategic share repurchases and investments. During the first nine months of 2020, we repurchased approximately 3.6 million shares, or approximately 5% of our outstanding share base, with the vast majority of this activity occurring in the first quarter. Regarding our share repurchase program, we expect to opportunistically invest in this program as conditions warn, while also prudently managing our balance sheet. We currently have $159 million in open repurchase authorizations, and as of today, have not executed any share repurchases during the fourth quarter. We ended the quarter with DSOs at 85 days, down five days from last quarter. Depending on the timing of our fourth quarter revenue activity, we anticipate some modest working capital usage as we close out 2020. We are proud of the expectation that annual 2020 cash flow from operations will mark the third consecutive year of record performance. In summary, our record 2020 cash flow expectation coupled with a solid long-term capital structure, low interest rates, no significant near-term maturities and ample liquidity, places MasTec's balance sheet at an extremely strong position to take advantage of any and all opportunities our markets afford us. Regarding capital spending during the third quarter, we incurred net cash CapEx defined as cash CapEx net of equipment disposals of approximately $39 million and we incurred an additional $41 million in equipment purchases under finance leases. We currently anticipate incurring approximately $190 million in net cash CapEx in 2020, with an additional $130 million to $150 million to be incurred under finance leases. As we look forward into 2021, based on the investments we have made the date, we expect 2021 CapEx levels will decline significantly when compared to 2020 levels. Moving on to our current 2020 guidance, our fourth quarter 2020 revenue expectation is expected to range between $1.7 billion to $1.9 billion, with adjusted EBITDA guidance ranging between $252 million to $263 million and adjusted diluted earnings per share guidance between $1.64 to $1.73. We are projecting annual 2020 revenue to range between $6.4 billion to $6.6 billion, with adjusted EBITDA expected to range between $800 million to $811 million and adjusted diluted earnings per share to range between $5 and $5.09. This includes your expectation of strong adjusted EBITDA performance across multiple segments, as well as slightly improved expectations on below the line items such as depreciation, interest and income taxes. These guidance expectations incorporate the impact of projected lower 2020 oil and gas segment revenue as regulatory delays on two large projects are expected to cause lower 2020 project activity and shift the word work into 2021, as well as improved 2020 adjusted EBITDA margin rate expectations across multiple segments. As we have previously provided some color as to 2020 segment expectations. I will now briefly cover other guidance expectations as highlighted in our release yesterday. Based on our expected strong cash flow, lower nominal interest rates and our recent senior notes offering, we expect annual 2020 interest expense levels to approximate $60 million with this level only including share repurchase activity executed to date. Our estimate for full year 2020 each share count is now 73.7 million shares. It should be noted for valuation modeling purposes that our year end 2020 share count will approximate 73 million shares, inclusive of the full impact of 2020 share repurchases. We expect annual 2020 depreciation expense to approximate 4% of revenue through the combination of lower expected oil and gas 2020 revenue levels and the timing impact of capital additions and acquisition activity. Lastly, we expect our annual 2020 adjusted income tax rate will approximate 24% with the fourth quarter tax rate expected to be slightly higher than the annual rate. This concludes our prepared remarks. We will now turn the call back to the operator for Q&A. Operator?
Operator: Thank you. [Operator Instructions] Our first question today comes from Steven Fisher of UBS.
Steven Fisher: Thanks. Good morning, guys. Just wanted to start off asking some questions about the clean energy business, one of you can just talk a little bit about kind of the projects you're working on today and how you see that changing into 2021 and '22 to get to the targets that you have there. And I assume that would cover what size of projects you're bidding on and really kind of what the competitive landscape looks like for these new types of projects that that you need to book in order to achieve your targets, so just kind of wondering how should investors think about the size of the opportunities, the competitive landscape and how confident we can be that you'll get to that target over the next couple of years?
Jose Mas: Yeah, Steve, so I think the most important part, right is as you think about where we brought the business from. So just a few short years ago, we were a $300 million business and this year, we should exceed $1.05 billion. And we're talking about approximating 2 billion next year and eventually growing that business to 3 plus. So I think that the comfort should come in what we've been able to deliver over the last couple of years, right. So I think we've proven our ability to grow the business. Now the question becomes what is the market look like? And as the market afforded us the opportunity to continue to grow with the growth rates that we've enjoyed and seen over the last few years, I think that's the most important piece, right. When you look at the market, I don't think there's any question that there's a significant increase in the level of activity. I mean, quite frankly, the number of opportunities that we're looking at and as we look at our bid schedules and the potential projects that are out there, I mean, it's never even been close, right. It's worse any number we've ever seen in the past. So just with us winning our fair share of that we feel relatively comfortable that we can get to those levels in short order. Historically, as you may remember, we were wind business, right. We started this business as being a large wind contractor. Today, we're a much more diversified entity. Our wind business is still a really good business and a business that's going to continue to grow, especially with the added focus that we're seeing in wind. But the reality is the other portions of the business are growing much faster, right. We've got a solar business that we started about a year ago, maybe just slightly over a year ago, that business will probably exceed the size of our wind business in the coming years. It's going to have a fantastic year in 2021 and that's a big growth driver for us for '21 versus '20. We've significantly grown our biomass capabilities, our back bone supplying capabilities, which we think is going to open a whole slew of new technologies on the clean energy side for us. We've worked on battery storage projects. We've worked on the associated transmission lines and substations that come with them. So it's just a very robust market. I think you see every one of the large utilities talking about their focus on clean energy and their move to clean energy. And as that continues to happen, we're going to be a big beneficiary of that.
Steven Fisher: That's very helpful, and clearly, as you lay out, there are some really robust opportunities for your businesses, particularly outside of oil and gas, but it still seems like the backlog in these segments are still drifting a bit lower. So why do you think that is? And when could we see that inflect more positively? Is there a COVID impacts here, is it kind of permitting this economic confidence, what's holding it back and when can we see this release start to ramp up in the backlog?
Jose Mas: Look, we've always said that backlog isn't going to be a consistent measure of where our business is going, right. Backlog has a lot of timing-based issues with it. The third quarter is a strong quarter for us, especially outside of our oil and gas business. It was a high watermark revenue quarter for us across a number of businesses, which makes it difficult to add backlog at those levels. Historically, if you look at our backlogs, the third quarter isn't generally the peak of our backlog levels, because it's the quarter where we work the most backlog off, so for us it's timing, right. We have the benefit of seeing that you as an investor don't is where we sit on whether it's verbal awards, negotiated projects, what we're seeing from trends, what we're seeing that we're bidding on, and I can tell you that when you think about clean energy, we've never had; A, we've got a bunch of projects that I think we'll be able to announce in the coming quarters that will take us to record backlog levels. I think we said that in our prepared remarks. We expect to have record backlog levels in clean energy and we hope it happens by year end. But we also understand that something slipping it might be Q1, but in the coming quarters, we expect to have record backlog levels. When you see what's happening in communications. And I know there's some frustration because it's been talked about for a long time, but there's no question that that's coming, right. The best of that market is yet to come. And I think we're incredibly well positioned. We know what's happening. We're talking to customers. We know exactly what we expect and what's coming. So I think it's a matter of time before you see it in our numbers. Transmission, a good market, we've got some big awards that are pending, where we've got limited notice to proceed and as soon as those contracts convert into full contracts, you're going to see a pretty big increase in backlog. And quite frankly, as crazy as it sounds, we will probably be up in backlog in our oil and gas business year end, despite what should be a very good quarter. So albeit, the headline may not look as great on backlog, the reality is that as a company, we've never been in a better position than where we are today relative to the opportunities that are in front of us.
Steven Fisher: Terrific, thanks very much.
Jose Mas: Thanks, Steve.
Operator: Our next question comes from Andrew Kaplowitz of Citi.
Andrew Kaplowitz: Good morning, guys.
Jose Mas: Good morning, Andy.
Andrew Kaplowitz: Jose, you just mentioned the frustration in communications and revenue then is somewhat sticky when I made $600 million range for a while. Even its underlying growth has been relatively good. So at what point do you think the drag that you've had, whether it's AT&T permitting, maybe T-Mobile taking longer to ramp up? What's the point you get really high conviction, they can break out of that recent range? Is it really the first half of '21, where you have pretty good conviction that you get sort of unstuck here?
Jose Mas: Look, my conviction is already high, right. So I think it's - I hope that comes clear today, right. I understand the numbers don't necessarily substantiate it from what you're seeing, but my conviction is high. Why is my conviction high? A bunch of reasons, right, first, we're living in a year in 2020 that is not normal, right. We're living through the COVID impacts that have affected all of our customers in different ways. We've got Verizon that is completing its - or getting to the end of its first phase of construction and moving to its second phase, you've got AT&T and both Verizon, that are counting on the spectrum auctions at the end of the year, that are an important part of their wireless growth in the future. You have things that are happening, where I think we're seeing some slight slowdowns as it relates to some customers in the second half of the year, right. With others that are - from our business are doing a lot better, right. So we've got a mixed bag within our communications business. If you look at our Comcast revenues, our Comcast revenues were up 159% year-over-year in the third quarter, they're up 111%, full year. You talked about T-Mobile, although it doesn't make our top 10 customer, a very important customer for us and one, quite frankly, that we're actually pretty happy with what we've been able to accomplish. To put it in perspective, T-Mobile has 64 markets. They break out our work in 64 markets. What makes T-Mobile different is we have to compete at a market-by-market level. They're not national contracts or not like some of our other customers. But we've made it a priority to really compete and fight and win T-Mobile work. When the year started, we were in six of those markets. Today, we're in 28 out of those 64 markets. So what's our goal? Our goal is to win more work in each of those markets, and ultimately expand the number of markets that we're in. So we think we've made great inroads, I think in the fourth quarter revenues with T-Mobile are going to approximate 2% of total company revenues. That's fantastic. That's a huge increase from where we started the year and from where we've been. So I think we've made a lot of progress there, right. It doesn't necessarily - you have to break it out customer-by-customer. I think next year, hopefully they're going to have a shot to break our top 10. So that's tremendous progress with the customer that we did very little work for in 2019. I think you're going to see activity levels from AT&T significantly increase next year versus where we've been. I think you're going to see some of the same from Verizon, right and some of the wireless opportunities that we're going to get to enjoy with Verizon. And even Dish, right. Dish hasn't done a lot this year. But we know that they've got significant plans going forward. So for us it's evident, right, we know with the conversations with our customer, we know what's coming. We understand as you look at our numbers, obviously, we have a fulfillment business, that's significantly declined again. We think next year is going to be the first time that that business can actually hold its own and potentially even grow. We think that's going to be a huge differentiator. And as you look at our communications on a quarter-over-quarter revenue, but I think there's some things that have to be a given, right. One is we're a market leader in that business. When you think about wireline and wireless, we are a market leader in both of those segments. I think that's super important. And I think that positions us incredibly well for what's going to be a very, very active market. So I say it with high conviction, it's going to be in steps. I think we're going to have solid double-digit growth in communications over a long period of time. And there's going to be periods of time where we'll have step of growth, right, where we'll see significant jumps in a particular quarter, then followed by long-term double-digit growth. And that's my expectation over the course of the next three to five years.
Andrew Kaplowitz: And very helpful, Jose, so maybe kind of a similar question in oil and gas, I think we all kind of would like your perspective here, obviously, you're going to have more large project work in '21 pushed out from '20. If I look at your segment, over the last few quarters, its averaged 400 million is that like a bid of sort of small to mid-size type work, and then you sort of add on large project. And when you talk to your customers are, we sort of bouncing along the bottom, if you may, for a few quarters, and then we can improve as we go out into '21 and '22. Any updated perspective would be helpful.
Jose Mas: Sure. So I do think that the levels in Q3 is a sustainable level for us considering the backdrop that exists in oil and gas today. This is challenging for us and it's challenging for me personally, because I believe in our oil and gas business, I believe in long-term, I believe that it's going to be - that it's going to recover, and be a significant contributor to MasTec for a long period of time. With that said I understand where the market is, right. I understand that I'm not going to convince the market, we'll see it's going to play out, one way or the other it's going to play out. So what are we trying to do as a business? We're trying to tell the market look, let's assume that oil and gas is going to be in a down market, let's assume that it's going to continue to be roughly in the space that it is today, we all know that at some point, demand is going to recover, and there's going to be some improvement in the business. But let's just assume that it stays in a weakened price point - better than it is today, but in a weakened price point. We think levels are sustainable. And what we're trying to do, what we've really been working on this call, and I think over the course of the last few months, is to try to give people a view of what MasTec would look like in a continued depressed oil and gas market, right. And I think we've laid that out. If I'm right, and the oil and gas market turns out to be better than considered option value, right? I think we're still a great brand in that industry. I think we're well known. I think we're going to - if the business gets better, we're going to be a big beneficiary of that business. But we're trying to give the view of what the business looks like in a depressed environment. And even in that view, it's a great view, right. We still think we can be a $10 billion plus revenue company, we think we can achieve double digit margins. If you look at where we are today, right. Even with our guidance of 800 million to 811 million of EBITDA, we're trading at 5.8 times trailing EBITDA; our peers are trading at nine or greater, right. If you take that into account, right, that's an $80 plus stock price for MasTec. Therein lies the opportunity for the MasTec investor, right, irrespective of how you feel about oil and gas good or bad. If oil and gas turns up being better, that that story and that price point and that potential valuation increase just further increases. But even if it doesn't, right, I still think we're dramatically undervalued relative to the rest of our business. And I think over time as we execute, and as we prove out our model, we'll get there.
Andrew Kaplowitz: Very helpful, Jose, thank you.
Jose Mas: Thank you, Andy.
Operator: Our next question today comes from Nicole Dilts, pardon me, Noelle Dilts of Stifel.
Noelle Dilts: Hi, gentlemen, good morning.
Jose Mas: Hi, Noelle.
Noelle Dilts: So my first question is a little bit specific, but just given the TC energy announcement around Keystone XL and congrats on that award. Just curious how you're kind of thinking about the probability of that job moving forward, given again, more regulatory challenges and if we should expect to see that go into backlog next quarter?
Jose Mas: So look, I think when we talk about oil and gas for 2021, we're going to be up next year, right. Just based on the projects in our current backlog of which that project is not in current backlog, our business will be up. I mean, I find it very difficult to see how our business wouldn't increase on a year-over-year basis. I think there's time to tell as to whether Keystone moves forward or not, we're obviously excited about our participation in the project. I am more bullish than some routed to the project, I think they've done a lot to get to the point where they're going to build it, we don't know for sure. The reality is that if everything that we've got pending and coming, if it all happens in 2021, the reality is, we'd be more like a $3 billion oil and gas business in '21. And we're never going to guide to that, we're never going to think about that. We think there's going to be - we're assuming that a bunch of work is going to slip into 2022. But with any individual project, you could almost take any individual project out of what we're thinking for '21 and we're still going to grow based on 2020 levels.
Noelle Dilts: Okay, great. So that and others might represent some upside. And then secondly just given the strength of your cash flow generation, and really where your balance sheet stands today, I know you spoke a bit about potential share repurchase on the call. But could you also give us a little bit more of an update, a little bit more depth on how you're thinking about M&A targets in the market if the current environment is yielding some opportunities to pick up peers who may be struggling a little bit more. Just kind of curious and also which markets you think are most interesting as you look forward?
Jose Mas: Look, I think there's a reason you haven't seen us do share buybacks in the last months. And a lot of it has to do with how we view the business going forward, and the potential opportunities that we see out in the marketplace, I can tell you that we are extremely very active in exploring and analyzing M&A partners, probably as active as we've been in the last 10 years. I can't remember a time where we've been in more discussions and in more negotiations and we are today. So for those reasons, I think we've tried to take our time and deciding what we do with the liquidity that we're sitting on. So I do think you can expect us to be more acquisitive in the coming quarters than you've probably seen us bee in a while. We think there's a lot of really interesting and good targets. We've been talking about it a couple of quarters. Obviously, these deals take time, and we want to make sure we make good decisions around them. We continue to evaluate share repurchases, because, again we've talked about it, we think our valuation and where we're trading at is an extremely attractive entry point to MasTec. But there are really good opportunities for us to continue to grow our business, most of our growth has been organic over the course of the last few years. We do think there's going to - we're going to be able to sprinkle in some M&A activity that's going to help us get to these targets faster. I would say that we're very active in all of the segments, probably with the exception of oil and gas. And we see really good opportunities to further our portfolio, to grow our geographic footprint. And to add and grow the different level of services we can offer to our customers within each of those segments.
Noelle Dilts: Thank you.
Jose Mas: Thanks Noelle.
Operator: Our next question comes from Alex Rygiel of B. Riley.
Alex Rygiel: Thank you, nice quarter gentlemen.
Jose Mas: Thank you, Alex. Good morning.
Alex Rygiel: Good morning. Jose, I think everybody hears you when you say that you expect sort of growth in 2021. I suspect everybody's assuming that's on the top line. And therefore I think the market is somewhat struggling with how to think about EBITDA in 2021 versus 2020. Can you give us a few areas to focus on to think about what the drivers are to EBITDA growth in 2021 versus maybe a modest EBITDA contraction in 2021?
Jose Mas: Look, so I would say that we don't expect EBITDA to contract in '21. We expect EBITDA growth in '21 versus '20. But there's gives and puts and takes from that right. So I do think oil and gas EBITDA will come down on a full year basis in '21 relative to where it was in '20. We've talked at length about some of the cost plus nature of some of the larger projects and how that's a little bit diluted to margin. So as we think about the business, and we've said this for a long time, we think that w high teens range is the right range to think about our oil and gas business. On a longer-term nature, I think that's achievable for us in '21. I think our communications margins have been really strong, right the last couple quarters. I think we've talked about hitting double digits for the full year in '20. First quarter was a little bit down the further quarters have improved a lot. I think we'll see slight improvement in '21. But we do expect to have to start ramping up back for growth in '21. So I don't know that there's much margin expansion in '21, relative to what we saw in '20. I think we'll see further margin expansion in both our transmission and clean energy businesses on a full year basis in '21, relative to where we are today. And we obviously have a lot of growth coming from those. So I think all that adds up. So we will see from a total company perspective, I would expect our EBITDA margins to decline in '21 versus where they are in '20 still be strong double digits. We're not giving guidance today. But I would expect it to be slightly below where they are in '20 with some growth from '21 to '20. And again, we're not ready to give guidance, but I think that's a pretty darn specific view of what our expectations are as of today.
Alex Rygiel: It sounds like you've been shopping around for a number of acquisitions. The process has taken some time here. What do you think some of those hurdles are? Are sellers unwilling to sell at low price points? Is there a lot of competition for acquisitions? Sort of what's the holdup?
Jose Mas: Look, couple of things. I think we have a track record of being very successful in the acquisitions that we've made. I think the reason that we have is because we take our time upfront, right. We understand that to make sense for us, we have to bring something to the table, right. We have to have a plan on how we take that company from where it currently is, to where it can get to and I think that the planning process on the front end is what ultimately makes acquisition successful or not. So for that, I think we've always taken longer than probably others have. It is a competitive market, there's a lot of money out there, there are some companies that are obviously shopping for the highest multiple, and those are companies that for lots of reasons we're not going to be engaged in and we're not going to see those transaction. It's tough for us trading at 5.7 times I think there's very few companies that are willing to sell at those kind of multiples, although there's some, right. And I think we have to sell our vision and how we think we can help operators grow their business and make the potential of the business that they see in front of them. That's what's been successful for us in the past. I think we're getting close, I think, again we're - I don't think it's a function of doing anything wrong or taking too long. I think this is just a customary time that we would take to make sure that the acquisitions that we make are going to work for us long term.
Alex Rygiel: Very helpful. Thank you.
Jose Mas: Thanks, Alex.
Operator: Our next question comes from Jamie Cook of Credit Suisse.
Jamie Cook: Hi, good morning and nice quarter. Most of the questions have been asked, but Jose, obviously, you've done a good job strategically with the company identifying growth platforms early and delivering on the margin profile. I guess the next leg is I think about sort of unlocking shareholder value, obviously, people are placing higher valuations on certain parts of your business relative to others. So sort of in that vein, is there any sort of strategic initiatives going to oil and gas does come back for you to somewhat strategically temper the growth of that business, as people put higher valuations on whether it's communications or transmission or clean energy and infrastructure is another way to sort of improve your multiple? Or is it more a story of let the market figure out that oil and gas is in a cyclical that is your ability to manage in an oil and gas downturn, it's better than the market expects. Thanks.
Jose Mas: So Jamie, what my experience has taught me over the years is, don't overreact to the market. And I think that's important, right. With that said, right, we're trying to manage our business and understand our business over a very long period of time. We understand the concern that exists with oil and gas. We understand the potential pitfalls and challenges that are going to be there potentially long-term, right. So I think for us, the first phase is to get people comfortable with the nature of oil and gas business and the recurring component of it and the diversity and strength within it, right. So if we can convince people over time through execution that we can maintain a certain level of revenue in that business irrespective of what's happening in the cycle, we will get a high valuation for that portion of the business, right. If it's sustainable, people will pay more for it right. And we get that. So there is a good portion of that business that falls into that category. I think in the middle of a pandemic, and in the middle of demand issues relative to that industry, it may not be as clear, but I think over time that will prove out. Again, we've got a good brand, a good name in that business, I do think it's going to come back, I think we will evaluate all of our options over a longer period of time, we're not going to react, we're not going to - we're going to take our time and be measured around our approach. Ultimately, we want to increase shareholder value as much as we can. Up to date, right, it's been an important part of our business, it's been a good margin business, it's been a business that we've been able to grow and react to and meet the cycles and meet the challenges within that business very well. I also think there's going to be dramatically less competition in the next couple years in that business, which is going to create further opportunities for companies like ours. So we're watching it, we understand the concerns that exist with it. We want people to understand the portions of the business that we think should be valued - within that business. There's portions of it that should be valued in different ways. And over time, we're going to continue to articulate that. But look, we've seen the story play too often, right. And we know there's macro issues related here, but we can overreact a cycle. And I think it's early. So, time will tell what we ultimately do that.
Jamie Cook: I appreciate the color. Great job, thanks.
Jose Mas: Thanks, Jamie.
Operator: The next question today comes from Andrew Thalhimer of Thompson Davis.
Adam Thalhimer: Good morning Jose, nice quarter.
Jose Mas: Good morning Adam.
Adam Thalhimer: I wanted to talk more about diversifying O&G. So the low end of your long-term oil and gas goal of kind of 1.5 billion, how much of that would be recurring or integrity or maintenance work?
Jose Mas: Well, I think the - so I think there's different parts of recurring, right, I would think that when we think about what specific the base in work versus you've got a significant portion of distribution on that, I think we'd see that as like a 50-50 mix, right. We're 50% is more distribution related projects, integrity related projects, pipe - line replacement projects and then the balance would be base in related work. We're going to see happen in the market is, it's just going to be different basins, right. We may see a slowdown in Texas, but we're going to see significant activity in other basins. So we've got to be ready. And I think our business model is well equipped for it to react to the opportunities as they pop up in different basins. That coupled with more of a distribution type model, I think is what make our oil and gas business very successful over a long period of time. We're sprinkled in some larger project activity over time.
Adam Thalhimer: Okay, and then I wanted to ask about Comcast, just because the growth was so strong there. Is that a pandemic response from them? Or is that a larger program? And then, as a part of that, I was hoping you could talk about the cable opportunity in general, if you're talking to other cable companies about potential programs as well.
Jose Mas: Yeah, I think for us, as it relates to MasTec its geographic. So today, we're just working in a lot more markets for them than we historically have. So I think it's been our ability to grow with that customer into new areas. So I don't think it's - it's not pandemic related. I think it's really we were - we signed a Tier 1 contract with them a couple years ago. There's been an initiative where we've been trying to grow our business with them. And I think they viewed us as a good partner to help grow. So based on that, I think, is the growth that you're seeing, and hopefully, we're going to continue, maybe not at these levels, because these levels are really high. But I think we're going to continue to grow our business with them at strong double digits for the foreseeable future.
Adam Thalhimer: Thanks Jose.
Operator: Our next question comes from Andrew Wittmann of Baird.
Andrew Wittmann: Great, thanks for taking my question, guys. I'll lay out kind of bigger picture questions been asked and answered. But I did want to give you a chance to clarify something that I found a little bit confusing here. You mentioned in the oil and gas segment that to the large projects didn't start but now they're starting they're kind of going right now. You also mentioned that the range here in the fourth quarter contemplates further delays. So what's this - hoping you could reconcile it and sounds like it's moving, but then there's a potential for delay a little bit confusing thought I'll give you a chance to clarify that.
Jose Mas: Yeah, so look, I think when you think about those two projects over their life, at peak activity levels will be somewhere between 5000 to 6000 people on those projects. We're currently at about 1500 people on those projects. We're going to grow that number from year-to-year ends, we may grow to 5000, we may grow to 4000, right, it's going to all be dependent on how quick we grow those resources, how quick we put people on the right away. For the most part there's a lot of work available to us to work, there are still some things missing that we need to have full access to the entirety of those projects. That's not a typical, I think it's really important to note that on one of those projects one of the customers self-imposed a stop work order, it wasn't a stop work order that was mandated, it was self-imposed, as they got - they always had the ability to work in certain areas, but they shut the whole project down to try to get as much progress on the full project as they could, which is probably intelligent, right. So now they've lifted that self-imposed off work order, there's a significant amount of work to do. I think that if we could gear up and man the full jobs we'd probably get to the higher end of that range. I think we're all cognizant of what's been happening in these jobs for a long period of time. So both us and our customers we're trying to take it one step at a time. So that's the difference in our range, right, we're at roughly 30% of the people that we need on the project today. That number is going to grow substantially between now and year end. To what level it ultimately grows to is going to be kind of what dictates where we end up in that revenue range.
Andrew Wittmann: That makes sense. Thank you. That's all for me.
Operator: Our final question today comes from Sean Eastman of KeyBanc Capital Markets.
Sean Eastman: Hi, gents, thanks for taking my questions.
Jose Mas: Hey, Sean, good morning.
Sean Eastman: Good morning. This 10 billion in revenue is super interesting, obviously. I just wanted to get a sense relative to where we are today in 2020 what the margin profile on the business looks like in that 10 million in revenue scenario just given oil and gas is the highest margin segment today. But you also have some pretty ambitious margin expansion targets in the non oil and gas revenue stream. So just trying to put that together in my head and sort of understand the EBITDA power in that scenario.
Jose Mas: Yeah, I don't think it's changed over what we've said. Longer term, if you break it in buckets, right, we set our oil and gas business over a long-term we think we can sustain mid to high teens. Our communications business, we've said we expect to be 13 plus over time, right, we hit 13. a while ago, in the last cycle, we think we can exceed it in this cycle. We've talked about clean energy being at double digits, we've talked about transmission being at double digits. So when you add all that up, and you look at a $10 billion plus company, we're comfortable, we can hit a double-digit EBITDA margin rate at those levels, right. Maybe it's not the 12 though we're at today, but it's somewhere between 10 and that and I think that those numbers MasTec is a very compelling story.
Sean Eastman: Yeah, that's super helpful. And second one, for me, just a comment around being uniquely positioned in clean energy. Clearly, that's a big important driver of that growth algorithm. So I just wanted to get a little bit more color, just on the differentiation, their competitive positioning just expanding on that unique position that would be great.
Jose Mas: Look, I think when you look at the customer base that we enjoy in that business, right and the customers that we've grown with over the last three years. So again I think the historical context is important, 300 million to $1.05 billion in just three or four years, growing to 2 billion next year, which means when you talk about the target that we've laid out, it's 50% further growth over a number of years past that, and I think it comes from, quite frankly, the growth of spend within the customer base that we already had. So you look at our top 10 list, and we have a lot of those players in it today. But those customers have significant increases in their clean energy spend, right. Much stronger - very, very strong double-digit rates that they're expecting to grow out over time. If we just grew with the levels of which our customers spend by, we achieved that target. When you add into the fact that we keep increasing the types of work that we do related to clean energy, it furthers our ability to grow that market, in addition to what the spend dollars are, right. So you've got a growing market, with substantial dollars being thrown at it. You've got a contracting community that in reality doesn't exist because these type of projects haven't been built in the past. So we come in with a huge advantage in that we've been an early adopter of these businesses for such a long period of time. We're extremely well known to the customer base that spending the dollars. We're trusted by that customer base. So as they spend dollars we'll benefit. So again if we just grow at the level of which those customers are increasing their spends, we think we achieve that target. As we add further services to what we're going to offer overtime, we exceed that target.
Sean Eastman: Got you, really helpful. Thanks again for the time.
Jose Mas: All right, thanks Sean.
Operator: I'd now like to turn the call back to Mr. Mas for any additional or closing remarks.
Jose Mas: Again this concludes our third quarter 2020 call. Once again, I would like to thank all of those who've supported us during the year and for your participation today. We look forward to providing another update on our year end call. We ask everyone to stay safe. Thank you for joining us today.
Operator: Ladies and gentleman that concludes today's conference call. Thank you for your participation. You may now disconnect.